Operator: Good day, and thank you for standing by. Welcome to the Third Quarter Fiscal Year 2025 Cavco Industries, Inc Earnings Call Webcast. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be a question-and-answer session and instructions will be given at that time. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Mark Fusler, Corporate Controller and Investor Relations. Please go ahead.
Mark Fusler: Good day, and thank you for joining us for Cavco Industries third quarter fiscal year 2025 earnings conference call. During the call, you'll be hearing from Bill Boor, President and Chief Executive Officer; Allison Aden, Executive Vice President and Chief Financial Officer; and Paul Bigbee, Chief Accounting Officer. Before we begin, we'd like to remind you that comments made during this conference call by management may contain forward-looking statements, including statements of expectations or assumptions about Cavco's financial and operational performance, revenues, earnings per share, cash flow or use, cost savings, operational efficiencies, current or future volatility in the credit markets or future market conditions. All forward-looking statements involve risks and uncertainties, which could affect Cavco's actual results and could cause its actual results to differ materially from those expressed in any forward-looking statements made by or on behalf of Cavco. I encourage you to review Cavco's filings with the Securities and Exchange Commission, including without limitation, the company's most recent Forms 10-K and 10-Q, which identify specific factors that may cause actual results or events to differ materially from those described in the forward-looking statements. This conference call also contains time-sensitive information that is accurate only as of the date of this live broadcast, Friday, January 31, 2025. Cavco undertakes no obligation to revise or update any forward-looking statements, whether written or oral, to reflect events or circumstances after the date of this conference call, except as required by law. Now I'd like to turn the call over to Bill Boor, President and Chief Executive Officer. Bill?
William Boor: Thanks, Mark. Welcome, and thank you for joining us today to review our third quarter results. This quarter showed strong execution across our operations, supported by continued forward momentum in the market. Sequentially, our EPS jumped 30% to $6.90. Allison will provide a more detailed breakdown over the largest drivers were improved results in both financial services and factory-built housing. After a few challenging quarters, our Financial Services segment recorded its best quarterly profit in four years, driven primarily by our insurance operation. In insurance, the third quarter is typically more profitable due to lower weather-related claims costs that the positive results were also driven by improvement efforts we discussed in previous calls. We've made significant changes to underwriting to manage claims cost, and we implemented needed premium increases. In addition to the quarter-to-quarter financial services improvement, factory-built housing showed higher volume and gross margin. Despite normal winter and holiday seasonality, we were able to increase volume sequentially by about 3.4%, and gross margin improved by 70 basis points. I feel really good about the continued progress our plants are making as they ramp up production. It's always more operationally challenging to increase production than to pull it down in a market downturn. With a lot of focus on hiring, on-boarding and training, we've been able to steadily raise production rates where the market has supported it. This ties into an important point about our backlog movement. Despite entering the seasonally slower third quarter, we made the decision that where our backlogs allowed, our plants would continue ramping production in anticipation of continued market improvement in 2025. We made this decision to press forward to higher production rates knowing that, that would involve utilizing some of the backlog. Exiting the third quarter with a still very healthy aggregate backlog of six to eight weeks and a higher system production rate positions us very well for the coming quarters. Of course, market uncertainty remains. And if demand weakens in the coming quarters, I have full confidence in our ability to adjust accordingly. Conversely, if demand strengthens, we're a step ahead in controlling backlog growth, and we will have maximized profitable operating days in Q3. While industry shipments declined from Q2. It continued to improve on a seasonally adjusted basis. December numbers are not out yet. However, the seasonally adjusted annual rate of HUD shipments in October and November was 108,000 and 109,000 annual units, respectively. This compares with about 93,000 a year ago for those months and as low as 89,000 in early 2024. So the industry trend has been decidedly positive as we head into 2025. I also want to close off on an item from last quarter's earnings call. And you might remember that, that was shortly after the two devastating hurricanes hit the Southeast. At that time, there were questions about whether the Southeast market activity would be slowed in Q3. Industry shipment data for October and November showed that -- showed about 14% year-over-year shipment gain in the most impacted states indicating that activity resumed quickly following the hurricanes. As the calendar year ends, it's a good time to touch on progress with our digital marketing strategy. Over the last two years, we've implemented a complete transformation of our digital marketing architecture, making it easier for prospective buyers to research our homes and easier to efficiently connect them with retailers. A significant part of our approach is to add value for our retailers as well. One important aspect of this rollout has been to provide dealers and communities easy to manage microsites branded to their businesses, having their own Cavco supported sites integrated directly into our overall platform is proving to be a significant value add for our partners, enabling them to generate leads through their microsites and received leads from our cavcohomes.com digital platform. As we look back on calendar year 2024, the increased traffic, lead generation and the number of independent retail businesses connecting to our platform have validated our strategy and approach. And as customer engagement and the market evolve, we'll be able to continue building on the platform in new ways. Switching gears, our cash flow generation continue to support a strong balance sheet and the ability to repurchase shares. This quarter, we repurchased $42 million of stock and our quarter-to-quarter cash and cash equivalents remained essentially flat. With that, I'd like to turn it over to Allison to discuss the financial results in more detail.
Allison Aden: Thank you, Bill. Net revenue for the third fiscal quarter of 2025 was $522 million, up $75.2 million or 16.8% compared to $446.8 million during the prior year. Sequentially, net revenues increased $14.6 million driven by an increase in homes sold. Within the Factory-built Housing segment, net revenue was $500.9 million, up $74 million or 17.3% from $426.9 million in the prior year quarter. The increase was primarily due to a 21.6% increase in homes sold partially offset by a 3.5% decrease in average revenue per home sold. The decrease in average revenue per home was primarily due to a lower proportion of homes sold through our company-owned stores and to a lesser extent, product pricing decreases that were partially offset by lower multi-wide in the mix. Factory utilization for Q3 of 2025 was approximately 75% when considering all available production days. Utilization was approximately 60% in the prior year period. Financial Services segment net revenue was $21.2 million up $1.4 million or 6.8% from $19.8 million in the prior year quarter, primarily due to higher insurance premium rates. Consolidated gross margins in the third fiscal quarter as a percentage of net revenue was 24.9%, up 180 basis points from 23.1% in the same period last year. In the Factory-built Housing segment, the gross profit increased 120 basis points to 23.6% in Q3 of 2025 versus 22.4% in Q3 of 2024, driven by lower input costs, leveraging fixed overhead and other efficiencies on increased production, partially offset by lower average selling prices. Financial Services gross margin as a percentage of revenue increased to 55.5% in Q3 of 2025 from 36.8% in Q3 of 2024. The Insurance division improved due to a return to normal weather patterns, the growing impact of premium increases and underwriting changes on policies. Selling, general and administrative expenses in the third quarter of 2025 were $66 million or 12.6% of net revenue compared to $63.3 million or 14.2% of net revenue during the same quarter last year. The increase in these expenses was due to a higher variable compensation based on improved earnings and greater compensation related to acquired retail locations, partially offset by a $2 million reduction in legal expenses. Pretax profit was $69.3 million, up $25.4 million or 57.9% compared to $43.9 million in the prior year quarter. The effective income tax rate was 18.6% for the third fiscal quarter, down 1.7% compared to 20.3% in the second quarter. The decrease in the effective tax rate is primarily due to tax credits associated with higher shipments of ENERGY STAR compliant homes. This resulted in a decrease in tax expense of approximately $1 million or 1.4% in the third quarter of fiscal 2025. Net income was $56.5 million, up $20.5 million compared to $36 million in the same quarter of the prior year and diluted earnings per share this quarter was $6.96 per share versus $4.27 per share in last year's third quarter. During the quarter, we also repurchased 42.4 million of common shares under our share repurchase program. Cumulative repurchases stand at $389 million since we purchased -- since we began the program in the fourth quarter of fiscal year 2021. This leaves approximately $111 million under authorization for future repurchases. Before we discuss the balance sheet, I want to address the sequential change in our earnings per share, which showed significant improvement from the second quarter. The largest increase is due to the performance of the Financial Services segment. In Q2 of 2025, the segment was at a pretax loss of nearly $1 million compared to pretax income in Q3 of 2025 of $6.2 million, a swing of over $7 million. The Q3 2025 performance improved significantly due to higher premiums earned, lower claim volume from fewer weather events and changes in underwriting. The second largest impact is from improved factory-built housing sales volume and improved margins on those homes sold due to efficiencies on higher production levels. The third largest impact relates to our 170 basis points lower tax rate compared to 20.3% in the sequential quarter. The decrease in the effective tax rate is due primarily to higher shipments of ENERGY STAR compliant homes. The remaining is the benefit of our share repurchase program. In Q3 of 2025, we repurchased 98,000 shares further reducing our shares outstanding. Now I'll turn it over to Paul to discuss the balance sheet.
Paul Bigbee: Thanks, Allison. In the third quarter, we saw a decline in cash and restricted cash of $7.6 million bringing our balance to $378.6 million. Cash flow from operating activities was $37.8 million despite being impacted by an increase in our working capital. Cash used in investing activities was $3 million net and cash used in financing activities was $42.4 million, primarily due to share repurchases. Now moving on from the quarter and comparing the December 28, 2024 balance sheet to March 30, 2024. The increase in accounts receivable is primarily related to organic growth we have experienced in the Factory-built Housing segment. The increase in short-term consumer loans receivable is due to higher originations of loans held-for-sale in excess of actual sales. The balance of commercial loans in total remained relatively stable. The decrease in short-term commercial loans receivable is primarily due to paydowns of floor plan lending and a shift to longer-term loans. Current liabilities are up from increased compensation and bonus accruals on higher earnings, increased insurance loss reserves for previous storms and higher customer deposits. Finally, treasury stock increased due to buybacks executed in the first three quarters of fiscal 2025. Now with that, I'll turn it back to Bill.
William Boor: Thank you, Paul. It's been very satisfying to see the strong execution of our operating plans across the business segment this quarter. In addition to posting strong results, we feel we effectively use the third quarter to set ourselves up for continued momentum in the coming quarters. So with that, Michelle, would you please open the line for questions?
Operator: [Operator Instructions]. Our first question comes from Daniel Moore with CJS Securities. Your line is open.
Daniel Moore: Thank you. Good morning or good afternoon to Bill, Allison, Paul. Thanks for taking the questions. Obviously, feeling pretty good about the trajectory of the business and order rates and demand given the decision to continue to increase production this past quarter and a seasonally late period. What can you tell us about your discussions with customers across various end markets and the cadence of order rates through the quarter and what you're seeing thus far in fiscal Q4, just trying to get a sense, are you hearing from customers there expectations that things are going to pick up? Is it more of an anticipation of a stronger Spring selling season? Anything you can tell us kind of across markets would be really helpful.
William Boor: Yes, Dan, let me hit a couple of points and shoot it back to me if you had some questions or some areas or aspects I didn't touch on. We always -- this call always comes at an interesting time in the year, right, because we've finished the seasonally slower holiday quarter and winter quarter. And then we're still a little too early to really have strong conclusions around how the Spring selling season is going to materialize. But obviously, we watch some things. I commented at some length in my opening remarks about just watching industry shipments on a seasonally adjusted rate and how they have continued to trend upward. So at a high level, that's been encouraging. Traffic, really said this for a few quarters now traffic and retail and dealers has been pretty healthy and has remained healthy even when the interest rates shot up. So we know people are out there trying to figure out if they can buy homes. And I think some of what we really saw this past year was the adjustment that prospective buyers made to higher interest rates. If you need a home and the rates go up on you, you can't afford maybe as much home as you were looking at previously at some point, you make that adjustment and you buy what you can afford. And I think that psychological shift on the consumer side has been something we've watched. We see it in things like the -- if you assume traffic is pretty healthy, as I described, you see it in conversion rates ticking up. And that's something we've seen in our stores, and we've talked to independents about. The other factor that got a lot of air time last year, and I think we tried to say, it's not a big story now. But when you look at it over several quarters, the community is getting their inventories under control. That's something that kind of happened late in the year. And so that's a bit of a tailwind for overall demand as communities kind of take their proportion of orders again in 2025, and that's what we expect to see. So yes, I'm rattling off quite a few things but some of these are leading indicators. Some of them are just watching the trend in the seasonally adjusted rate. But I think they all. Never give you certainty as I was careful to say -- there is always economic uncertainty. We'll know more as this quarter starts to unfold because we really haven't hit that improved weather and the time when we see activity seasonally pick up. But we obviously are feeling fairly confident about it. And also, as I said, part of our operating decision to prepare ourselves for stronger quarters ahead is made because we know our plants are really good at adjusting if we need to adjust. So we feel -- I think it was the right move to continue to build production.
Daniel Moore: Yes, that's good color. Really helpful. Are you -- as we think about sort of sequentially from Q3 to Q4, maintaining similar rate of production. Is there holidays or other things we should sort of think about that would create a favorable or maybe slightly less favorable shipping comparison on a sequential basis?
William Boor: And nothing really that I would say would be less favorable. I mean the biggest thing is you got more operating days in the fourth quarter than we had in the third quarter. And even though we talk at a high level in these calls by necessity, the plant decisions of how rapidly they ramp up or if they're even able to ramp up are really unique to their backlogs. So I guess what I'm saying is if the market continues to support us as we've been going then there is more upside to production and downside at this point. I realize as Allison was talking and I don't think I missed it in the script there, but that I usually talk about past utilization. We were around 75% in the third quarter. So we still have some room to keep expanding up.
Daniel Moore: That's really helpful. Maybe one more and I'll shift, hand it back off. In terms of financial services, great color, obviously had an exceptional quarter -- maybe talk about what some of the changes that you've made. I think you described kind of three things: the rates being one, lower claims instances, which is sort of out of your control, but seasonally lighter. And then the changes to underwriting, maybe talk about the changes to underwriting, number one. And number two, how do we think about like an appropriate sort of long-term average range for whether it be gross margins or operating margins for that business, because it's obviously all over the board based on seasonality and other factors.
William Boor: Yes, we made it tough on you guys because we really swung from two quarters that were pretty rough to one that was very strong historically. So the first thing, and I'll just go back through them again, because I think it's important to be as clear as we can. First thing is we would always expect the third quarter to be stronger than the first and second. That's just based on weather. We kind of use historical data to predict the number of major storms we'll have. And as you'd expect, the third quarter is really the time when you want to make sure you're making good money because sometimes the first and second can be rough. So absolutely, part of the change quarter-to-quarter is just due to lower claims costs. Had we done nothing else. But having said that, I do think we're having a significant impact. On the premium side, probably taking you through too much detail or more than you want. But on the premium side, the process is really working with actuarials to figure out what we need to charge for a policy in order to get the proper risk-adjusted return. And we've just been really diligent making sure that we're -- you got to go to the state regulators, making sure that we're getting those premiums in place those increases. And I think that's important on the revenue side. And then you're asking about underwriting. We've had to make some tough decisions. We've had non-renew policyholders where we needed to thin out our exposure in certain areas. We've had to actually make like lower coverage decisions on the policies that we do renew, but we needed to make sure that every policy was profitable on a risk-adjusted basis. So I will give you one example, and there's many of them just to give you a flavor for it. You can write an underwriting -- you can write a policy for roof damage that's full replacement cost or you can write a policy for route damage that pays for the depreciated value of the roof based on its age and condition. We've made those kind of changes over the past year fairly aggressively because we knew we've needed to make sure that risk reward was in place. You asked -- I think the follow-up was how do you -- what guidance or help can we give you on further quarters -- excuse me, it's tough. I'll tell you that my only -- the only thing I think I could say is the seasonality is a big factor. So looking back at past years and rolling that forward quarter-to-quarter year-over-year is probably the best chance you have a pretty close. And it is it's a volatile business, as I said a quarter or two when we were talking about the poor returns, but it's a business that, over time, we've gotten a pretty strong return on investments. So we think it's a good business.
Daniel Moore: Yes, not quarterly, but going back several years, it was a business that earned 50% gross margins on average annual plus. Is that where you think it should be, not necessarily on a quarterly basis, but overall?
William Boor: Financial Service segment typically will be significantly above the factory that built housing segment on a gross margin basis. So I agree with that. I don't think I could endpoint a particular number for you, though.
Daniel Moore: That's helpful. Lastly, and I'll jump out. Tax rate, Allison, you pointed out, dipped lower. Year-to-date, it's about 20%, and that's below what we had modeled previously. What are your expect -- is that a sort of a good range blended with some of the ENERGY STAR production credits? How do we think about going forward?
Allison Aden: Yes. Thanks for the question. I think the way that we look at it is -- this was an unusually good quarter for the tax credits as we talked about. If you look back to, say, our Q4 of 2024, our Q1 this year 2025 and Q2 2025 kind of take an average of those to me that would be more representative of what we would expect to be kind of a normalized rate.
Daniel Moore: Got it. That's helpful. I'll jump back, if there is any follow-ups. Thank you again.
William Boor: Thanks Dan.
Operator: Thank you. Our next question comes from Danny Eggerichs with Craig-Hallum Capital Group. Your line is open.
Danny Eggerichs: Thank on for Greg Palm today. I guess, just more broadly speaking, demand from a geography perspective. I guess any pockets of strength or geographies that are still kind of lagging or maybe were lagging and are starting to boost up a little bit that you'd want to call out specifically?
William Boor: Yes. I might have commented on this last quarter, and so you're repeating myself, which is useful to kind of update the view. I can't remember exactly what I said last quarter. But it's been interesting. I mean this has been a market improvement over a number of quarters, right? It hasn't been a rocket ship. It's been nice and steady over some quarters. And you might remember that when that trend started, we kind of pointed to the Southeast and Texas as being the first ones to show some renewed strength, and they continue to be pretty strong. The laggards have been Florida, absolutely. Florida has been very tough, and it continues to be tough. And then the Southwest I think, has been slower and less dramatic in its increases, but it is improving there. So there have been some lingering differences regionally. I don't think there's a lot to read into that. It's just an observation -- but if I had to say one area that is kind of concerning and we're hoping we'll see some strengthening here in the future, it would be Florida. And it's interesting because the Southeast, that's not true. It's just -- it's the Southeast minus Florida.
Danny Eggerichs: Got it. That's helpful. Maybe just circling back to -- I know you gave some color on both retail and community channels, but -- maybe more specifically on REITs, it sounds like activity is still going good and past couple of years, we had the inventory problem and kind of the rate problem. But just now in kind of the current rate environment, is there any worry that some of these communities might start tempering it back a little bit? Or I guess, what are you hearing out there?
William Boor: Yes, I think you kind of have to separate their demands into the categories of filling out existing communities and replacements and things like that, which we expect to be pretty strong versus doing new projects, which might be more influenced by their cost of capital. If they've already got a community and they've got the opportunity to get incremental revenue by leasing an additional lot, then they're going to be all about that. And we expect, overall, I mean, my view is in talking to our partners on the community side is that this should be a pretty solid year for them. The inventory is finally behind them and their growth plans for just filling out existing communities are pretty strong. So that translates into wholesale orders. So I take your point, and I think if they were looking at a new development, which is very hard to get done anyway in today's environment, and very few of those have gotten titled and permitted, then the cost of capital is obviously more of a barrier than it has been in the past. But the majority of their volume really comes from the other side where they're replacing and building out communities.
Danny Eggerichs: Okay. Makes sense. Maybe just one more quick one. Any update on builder developer channel. I know last couple of quarters, it's been a bright spot. I don't know if you mentioned it in your prepared, but anything -- any color there?
William Boor: Yes, I don't think I've separated it out. The -- I'd say we've been watching kind of the trending of say, those three groups, right, dealers, communities and builder developers over the last year. The builder developer is the smallest of the three. In fact, and you know that in the past, we tended to just lump them together with communities because they're very similar from a customer perspective. But we do watch all three separately. And absolutely both communities and builder developers continue to trend up for us on a percentage of total business basis. So they're tracking pretty much along the way the community operators themselves.
Danny Eggerichs: Okay. I'll leave it there. Thanks everyone.
William Boor: Thanks Danny.
Operator: Thank you. Our next question comes from Jay McCanless with Wedbush. Your line is open.
Jay McCanless: Hey, everyone. Hope you guys are doing well.
William Boor: Thanks.
Jay McCanless: So first question with sadly, a lot of disasters happening around the country. Haven't really heard much in terms of FEMA orders or any things going on there. So could you guys give us an update on what, if anything, you're hearing from FEMA in terms of temporary housing relief?
William Boor: Yes. It's been interesting, because I kind of echo your feelings. We obviously keep our ear as close to the ground as we can on not only FEMA, but also state and local efforts to provide relief -- and I'll just comment on that real quickly that I don't know the value of the comment for the group. But from my perspective, we see and hear a lot of state and local government and all others talk about providing disaster relief without FEMA, because of how challenging it can be to work through them and the time delays that they run into. Let me touch on FEMA real quick. We -- that struggled in how to convey this effectively, but everything seems to point to there should be some theme orders, right? I mean there's been reference even on past calls, there was a call on the second half of last calendar year that was pretty open between FEMA and manufactured housing kind of just seemingly to set the stage that they were going to have some orders coming. So far, they haven't materialized. And I don't think that's necessarily an indication they won't. It feels like they should. We think that they lost some inventory in some of the hurricanes in fact. And so I don't have a lot to give you except kind of an agreement that has been strangely quiet and we're keeping our eyes open, because I guess we won't know there's a bid being put out until it happens. And I'd say the state and local on the LA fires, I'm trying to get closer to this. I don't feel like I'm an expert on what's going on so soon after those fires happened. But we are hearing there a lot of state and local folks talking about not relying on the federal assistance so much. But I'd also say that there's still a bit of lack of clarity about how they're going to organize to provide the relief themselves. So it's frustrating, because I think, and I'm not just saying this from a Cavco perspective, I think our industry stands ready to try to do everything we can to provide home tree situations, and we just haven't seen anything break loose at this point.
Jay McCanless: Got it. If you think about the plant-based bill, Cavco's plant base, I guess, how much and just even rough terms would be great. how much of your existing plant base do you think would be in a position to ship to it? You also headquarters in Phoenix, of course, but I would think you've got some other plants in the California market, et cetera. So just have you guys thought about what percent of your plant base might ship into that area if they do get it together and start ordering homes?
William Boor: Yes, it's a provided relief for Southern California specifically, Jay?
Jay McCanless: Yes.
William Boor: Yes. I mean, we've got -- including Glendale, which is the park model facility that can make ADUs pretty readily. We've got three plants in the Phoenix area that could all reach there pretty readily. And then we've got the Riverside, California plant that's really close by. So pretty straightforward to have those four plants provide or be part of providing homes for the area.
Jay McCanless: Got you. And if we could talk about what you're seeing on channel rates?
Paul Bigbee: Yes. So they picked up a little bit. So right now, there's a range of 8.6% to about 9.6% in the market right now.
Jay McCanless: How much up is that? That's just a small increase, right?
Paul Bigbee: Yes, a small increase from last quarter.
Jay McCanless: And then I guess and probably way too early to tell, but anything with this new administration that either you guys are looking forward to what you think might be a headwind? Anything worth calling out that you've already seen from the Trump administration?
William Boor: Not a lot of -- not a lot that we've already seen impact anything. I mean there's a lot of discussion about tariffs and we're just going to have to kind of watch and be ready that could be inflationary on some of our input costs for sure. But it's hard to tell the magnitude of that because we don't know exactly where the administration will land on some of those tariffs. And then the labor force for quite a while now has been -- we've been able to hire people pretty readily. So attracting people into our operations has not been difficult. And there, again, I'm not trying to overstate it as a risk, but I guess it's conceivable immigration or that the immigration policies could impact just general labor availability, but it seems like a relatively low risk that that would be a significant impact on us. So we're still in the mode of just trying to watch and pay attention and make sure we're at to deal with whatever comes our way. I think that this is me being a little bit optimistic. I think the regulatory environment in general I think we've talked about things like the DOE energy rules that really were not well designed for our industry. We've been fighting that at an industry level for quite a while now. With some success, I think optimistically, it would be great if we could see a regulatory regime that kind of listens and works with us a little bit better there and identifies HUD as our sole regulators in the industry. So there's some upside, in my opinion, over time on the regulatory side.
Jay McCanless: That's great. And then the last question I had, just thinking about input prices and maybe some hints towards gross margin in the fourth quarter. We've seen OSB prices come down pretty dramatically in the last three weeks. It looks like dry walls up a little, framing numbers up a little, but it seems like not only are you guys getting a good volume tailwind into the spring season. But maybe from a cost perspective, things are looking a little better. So Allison or Bill, if you could talk about what you're seeing there and maybe directionally where you think gross margin trends might go in 4Q?
Allison Aden: Sure. Thank you. So on gross margins, we -- a couple of items that we look at very closely. But first, of course, is the average selling price, which -- we did see a little bit of pressure in Q3 downward pressure for the last several quarters, it has been fairly consistent. And to your point, the second component is cost, right? And more specifically, material costs. And we like all the builders right to depend on lumber and oriented strand board. So you're right. What you see in the commodities market, and we stay very close to it. We'll play through in our cost of goods sold during the next 60 to 90 days. So as you can see, it has drifted lower a little bit on the OSB and we just stay very close to it. And it's a way that you could see publicly also how the commodity markets are moving and just consider they'll make their way through our caustic goods and therefore our gross margin in about 60 to 90 days.
Jay McCanless: Okay. All right. Great. That's all I had. Thanks guys. Appreciate it.
William Boor: Thanks Jay.
Operator: Thank you. [Operator Instructions]. Our next question comes from Daniel Moore with CJS Securities. Your line is open.
Daniel Moore: Yes. Just maybe one more on kind of the capital allocation and cash flow. You bought back over $40 million each in the past two quarters, cash balance has sort of leveled off buying back sort of in lockstep with cash flow and the share count is down by my math, over 8% over the last two years. So -- is that likely the plan going forward? How are you thinking about managing cash balances and putting sort of that incremental cash flow to work. [Indiscernible] need to grow.
Allison Aden: Yes, I think that. Yes, I appreciate that. It gives us a chance just to high level, talk about our capital allocation. And really, our focus is on expanding our capacity, right, for our plant network. So the way we think about it is if we had $1 to spend, we probably would spend that dollar in growing our existing plant capacity. And we've had a number of projects that we've been able to invest in over the last couple of years. And we continue to vet those on a regular basis. And in fact, we were able to do that as our network grows. And then second, we're always active -- actively vetting our pipeline of M&A opportunities that also help us build strategic areas of our market and also to continue to grow our capacity. And you can see that over time, we've been active and imagine that we will continue to be active in that space. We also look and continue to look at chattel lending opportunities for our lending operations, and that is an important part of strategic plan. And lastly, as you mentioned, we used the share buybacks as a way to responsibly manage our balance sheet as we work through our capital allocation priorities. So you can't look at history and the level of our cash flows, which are pretty strong because the business model is strong and the way we manage it from a variable cost factor. And while sometimes we have and flow as far as our share repurchases in the quarter depending on the activity around the M&A, but it is a good indicator of what to look forward our history to what you can look forward to in the future.
Daniel Moore: Yes, very helpful. Thank you again.
William Boor: Thanks, Dan.
Operator: Thank you. There are no further questions at this time. I'd like to turn the call back over to Bill Boor for closing remarks.
William Boor: Yes. I think just very consistent with the discussion we've had today. We've seen steady improvement in the market for a number of quarters now. And with the channel inventory issues behind us, we've got a backlog of at a macro level, on an aggregate basis, we're very happy with. So that's well positioned, and we're continuing to ramp up our throughput. So we feel really well positioned for the coming quarters, and we're not taking anything for granted. We understand the ever present economic uncertainties, but we're optimistic about continued steady improvement. So I really want to thank everyone for joining us today and for your interest in Cavco and we look forward to keeping you updated. Thank you.
Operator: Thank you for your participation. This does conclude the program, and you may now disconnect. Good day.